Operator: Good morning. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone to the ITT Corporation First Quarter 2010 Earnings Conference Call. [Operator Instructions] I would now turn the call over to Mr. Tom Scalera, Director of Investor Relations.
Thomas Scalera: Thank you, Kelly. Good morning, and welcome to ITT's First Quarter 2010 Investor Review. Presenting this morning our Chairman and CEO, Steve Loranger; and Chief Financial Officer, Denise Ramos. I'd like to highlight that this morning's presentation, press release and reconciliations of GAAP and non-GAAP financial measures can be found on our website at itt.com/ir. As always, please note that any remarks we may make about future expectations, plans and prospects, as well as other circumstances set out in our Safe Harbor statement constitute forward-looking statements for purposes of the Safe Harbor provision. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in ITT's Form 10-K, as well as our other public SEC filings. And now let me turn the things over to Steve.
Steven Loranger: Good morning, and thank you all for joining us today. Well, 2010 is definitely off to a great start for ITT. Even beyond some very welcome economic tailwinds, our performance is once again attributable to a focused strategic execution and effective organic growth plan. In the first quarter, our adjusted earnings per share of $0.84 exceeded the prior year by 17% and our prior guidance by $0.10. Of particular pride was the outstanding performance of Motion & Flow Control that delivered a 96 % increase in operating income on a 25% improvement in organic revenue. As a result of improved volume and our relentless pursuit of productivity, Motion's margins improved 500 basis points to 14.2%. This was a truly spectacular quarter for Motion & Flow Control that proved that this segment is capable of delivering very big results after years of restructuring and repositioning. Significant productivity gains were also delivered by Fluid Technology, driving an operating income increase of 32%. The great results in Fluid and Motion, both are a testimony to the hard work of Gretchen McClain in Munish Nanda and the thousands of Fluid and Motion employees that really bore down in the face of the economic crisis and reset our cost structure. And likewise, we're very proud of Dave Melcher in the Defense & Information Solutions team who also made great progress during the quarter with the strategic realignment of Defense & Information Solutions. Our three new platforms, Electronic Systems, Geospatial Systems and Information Systems are already lowering their cost structure, leveraging their leading technology and providing integrated solutions to our key customers. And I'm very pleased that our team is nicely ahead of its challenging implementation schedule. As a result of these strong Q1 performances, improving conditions in end markets and productivity plans for the balance of the year, we are pleased to raise the midpoint of our 2010 adjusted EPS to $4.13, which now represents a 9% year-over-year growth and which will be a record earnings year for ITT. We continue to drive new strategic initiatives that will support our future growth. During the quarter, we completed the Nova Analytics acquisition, which add analytical instrumentation to our leading portfolio of Fluid Technologies. This acquisition is on track and we're excited about future growth prospects for this new platform. And lastly, based on our consistent strong free cash flow generation, we announced an 18% dividend increase this quarter, which is our eighth straight annual increase to our shareholders. Turning to Slide 4. In this quarter, we also generated some nice wins that reflect the performance of our long-term organic growth strategies. Our strategy is focused on aligning our portfolio with growing global trends such as energy efficiency, freshwater scarcity, global security, aging infrastructure and a mobile network society. In each of these areas, we are identifying innovative ways to leverage ITT's technology to deliver comprehensive solutions. In energy, ITT will be developing energy-efficient water system solutions for the city of Chongqing, the largest city in Western China. Chongqing faces severe challenges with 43% of its treatment plant consistently falling below minimum standards. ITT's water treatment technology will provide customized energy-saving solutions that are compatible with Chongqing's unique geography and climate. In freshwater, ITT will be delivering clean water to Winnipeg to one of the largest dissolved air flotation treatment systems in North America. ITT's system was chosen because of our extensive experience, purifying water in an energy-efficient manner. in global security, ITT was awarded its second development contract in support of the CREW 3.3 systems design. CREW 3.3 includes dismounted, mounted and fixed site capabilities that provide combat troops protection against radio-controlled explosive devices. And we're announcing this morning that we were just awarded an important CREW 2.1 upgrade program known as Band C, which opens up a very nice follow on opportunity. In aging infrastructure, ITT will be providing a full suite of treatment equipment to upgrade a water reclamation plant as part of the Chesapeake Bay initiative. ITT's Water & Wastewater business will deliver aeration, filtration and ultraviolet disinfection equipment to help lower nitrogen in the water. In network society, remember that ITT is already a major partner on the GPS III program, which is supplying the next generation constellation of GPS satellites. And now, ITT will provide critical components and services for the next-generation GPS control program. This program will improve the accuracy, availability and continuity of GPS communication, and it will bring increased situation awareness to the U.S. military users and consumers worldwide. In total, these strategic wins represent an initial $200 million of new revenue opportunity for ITT. And it should be noted that in each one of these major wins, ITT is delivering integrated system that leverage our leading technology into enduring growing markets with bigger and better solutions for our customers. So with that positive outlook underneath our belt for the quarter, let's turn it over to Denise who's going to discuss the specific drivers.
Denise Ramos: Thanks, Steve. So on Slide 5, you'll see that first quarter 2010 revenues improved 3%. Now when you exclude the positive benefit from foreign exchange and acquisitions, our organic revenue improved 1%. The quarter's performance was driven by Motion & Flow Control's 25% growth from recent share gains and improving end market conditions. In Fluid, organic revenue was flat due to difficult comparison in our late cycle industrial process business that did show signs of recovery during the quarter. In addition, Emerging Markets, which represents more than 21% of our total commercial revenue, grew a solid 9% in the quarter. Total organic orders declined 5%. Defense organic orders were down 16% due to strong prior year comparisons. However, Motion & Flow grew 32% and Fluid's book-to-bill improved to 1.11 on 3% organic order growth. Segment operating income improved 12%, and margins improved 90 basis points due to 150 basis points of operational productivity that more than offset unfavorable pension and restructuring expenses. Free cash flow of $25 million was ahead of expectations and in line with our full-year target conversion of 100% of net income. Higher cash taxes and an unfavorable timing of large receivable collections at Defense contributed to the decline compared to the prior year. Our balance sheet is strong. We have $880 million of cash and a net debt to net capital ratio of 16.5%, and that does follow the funding of the first quarter Nova acquisition. Lastly, our adjusted continuing earnings per share grew 17% to $0.84 per share, excluding the net impact of prior year's special tax items and the $0.05 unfavorable impact primarily due to the Healthcare Reform Act's change. Fluid Technology's first quarter results are in Slide 6. Total Fluid revenues improved 8%. When you exclude favorable foreign exchange and acquisition benefits, organic revenue was flat. We were pleased to see that after four consecutive down quarters, Residential and Commercial Water returned to growth. The business grew 5% organically due to improving residential conditions and restocking in both the residential and commercial building markets. Water & Wastewater declined 1% as strength in dewatering in U.S. municipal transports was offset by European municipal softness. Organic revenue in Industrial Process was down 9% on lower project activity compared to a very strong prior year. Fluid operating income grew 32% and operating margins expanded 210 basis points on 190 basis points of operational productivity. These improvements were due to the recent restructuring actions and expanded global strategic sourcing activities that more than offset cost inflation and some negative price. We do expect to see some additional material and foreign exchange pressures as 2010 unfolds, but we are encouraged by the progress we've already made in advancing our productivity initiatives to more than offset these challenges. And as the top line continues to recover, we do expect to see even stronger leverage to operating income. Fluid organic orders grew 3% in the quarter. It was due to significant improvements at both Residential and Commercial Water and Industrial Process. Our Residential and Commercial orders expanded 15% due to improving residential conditions and commercial building restocking. A 9% improvement in Industrial Process orders was due to improving aftermarket activity and stronger project demand in the international oil and gas, mining and general industrial markets. Orders at Water & Wastewater were down 6% due to comparisons to a large prior year project win and some European municipal market softness. Market conditions across most of Fluid appear to be stabilizing or improving. The book-to-bill rate exiting the quarter of 1.11 does reflect some seasonality in restocking, but demand indicators have turned positive in most end markets. However, we are projecting some continued softness in European municipal markets that is largely offsetting gains elsewhere. On Slide 7, let's take a look at the Nova acquisition, which we announced on February 17. Expansion in the analytical instrumentation has been a focus of ours going back really a couple of years now, and analytical instrumentation is an attractive adjacency for ITT because these technologies provide additional growth opportunities in key markets where ITT already enjoys global leadership position such as water, wastewater, industrial process and food and beverage. We were also attracted to the underlying value drivers in the $6 billion analytical instrumentation market. Like most of our existing markets, analytics is highly fragmented and is driven by enduring needs and stringent regulatory requirements. Nova Analytics specifically provides ITT with premium global brands, robust distribution and solid aftermarket content. So this acquisition will establish another growth platform for ITT that will provide new opportunities with key customers. For the first time, we will be able to address customers' system needs for fluid transport, treatment and now, testing. In addition, we plan to significantly expand this business in the emerging markets and the Americas by leveraging ITT's strong relationships and channel. From a financial perspective, Nova's nine month forecasted revenue, approximately $110 million, was minimal 2010 EPS impact and that's due to purchase accounting and integration costs. So now let's turn to Motion & Flow Control's really exceptional results on Slide 8. All of Motion & Flow Control's business units contributed to the quarter's 25% organic revenue growth. Motion Technologies led the way, with 45% growth on stronger automotive production that was driven by European stimulus program. Motion Tech's recent automotive and rail share gains and global platform wins also contributed nicely to the recent performance. Flow Control improved 28% due to emerging market share gains, some new product launches in the beverage market and restocking in the marine market. Interconnect Solutions grew 10% and that was due to improved conditions in a number of their key end markets. Motion & Flow Control operating margins improved 500 basis points in total, 440 basis points operationally. So this very strong performance reflects volume, improved mix and the cumulative benefits from two years of aggressive restructuring, realignment and productivity initiatives. Organic orders improved 32% due to big gains at Motion Technologies, Flow Control and Interconnect Solution. We're continuing to take share in the food and beverage market, with improved products and customer-focused execution. We are growing once again in marines and general industrial markets due to improved execution. And we continue to win global platforms in auto and rail due to our strong products, our investments in technology and our customer service. Motion Technology orders improved 74%. However, we are expecting automotive orders to decelerate beginning in the second quarter due to expiring European stimulus programs. So as a result of our strong performance and the generally positive indicators, we are raising the full year Motion & Flow Control segment's organic revenue forecast from flat to plus 7%. Defense results in the first quarter are on Slide 9. Organic revenue for Defense declined 4%. Now this was better than our expectation due to the favorable timing of special-purpose jammer shipments and performance on service contracts. The anticipated decline reflected difficult prior year comparisons for SINCGARS and CREW 2.1. However, these declines were partially offset by a 40% improvement in international revenues. This performance was led by Night Vision, whose first quarter international customers included the U.K., Canada and Denmark. Service revenues in the Information Systems business grew 13% due to increased Middle East activities including LOGCAP. Domestic service revenue improved at Fort Benning, Maxwell Air Force Base and the FAA next-generation air traffic control program called ADS-B, and we are once again pleased to report that the ADS-B program continues to roll out nicely, with strong cost and scheduled performance indicators to date. Productivity continued to be strong, with 60 basis points of operational improvement delivered in the quarter. Higher pension and restructuring expenses more than offset these gains, resulting in an 80 basis point decline. Restructuring expenses associated with the defense realignment announced in January were $12 million, and the benefits associated with these actions are already exceeding our aggressive plan. Q1 organic orders were in line with budget. Compared to the prior year, orders declined 16% due to $400 million of CREW 2.1 and U.S. Night Vision orders in the first quarter of 2009. Orders for Information Systems improved 32% compared to the prior year due to ADS-B awards, important re-compete wins and new program activity. International Night Vision orders were strong and we've recently invested in expanding sales capabilities in growing markets such as India and Australia. Other significant Q1 orders included $129 million in airborne countermeasures and $50 million for SINCGARS in Saudi Arabia. And just a couple of days ago, as Steve mentioned, we were awarded an important contract for 436 Band C upgrades to CREW 2.1. Defense backlog at the end of the quarter was $5 billion and it was in line with our full year 2010 forecast of $5 billion. Next, let's turn to Slide 10 and we'll talk about the revised 2010 EPS guidance. The new 2010 adjusted EPS guidance reflects our strong Q1 results, increased confidence in our commercial productivity plans and stabilizing end market conditions for the balance of the year. So we are increasing our operational EPS before nonoperating items by $0.18 per share. We are now projecting $0.05 of incremental nonoperating headwinds from unfavorable foreign exchange and higher dilutions in stock option, net of a lower effective tax rate. So in total, our 2010 adjusted EPS range is now $4.05 to $4.20 per share, and at the midpoint, this represents 9% growth from 2009 and a 2% improvement over pre-economic downturn results in the first quarter of 2008. On Slide 11, we've provided our Q2 and detailed 2010 outlook. So for the second quarter, we are projecting flat EPS in the $1.05 to $1.07 range. And this forecast does include $0.02 of net dilution from the Nova acquisition, which is driven by purchase accounting adjustments and integration costs. Q2 revenues are expected to be flat compared to the prior year. Organic revenues compared to the prior year are expected to be down 2% due to a 3% decline at Defense. But on a sequential basis, ITT organic revenue is projected to improve 5% in the second quarter. For the full year, Defense revenue guidance was adjusted to 3% based on revised timing of orders and customer fielding plans. We increased total Fluid revenue to 5% from 2% to reflect the Nova acquisition. In total, revenue for Motion & Flow Control was increased to 6% and organic revenue was increased to 7% from flat in the prior guidance. So ITT's 2010 revenue is now expected to grow 4%. Organic revenue guidance was increased to 3% from 2%. Segment operating margin guidance was increased 10 basis points from the prior guidance to 12.3% due to expanded productivity initiatives that are expected to more than offset material cost pressures and some margin dilution from acquisitions. So with that, let me now turn things over to Tom to begin the Q&A.
Thomas Scalera: Thanks. Kelly. We're now ready to start the Q&A session.
Operator: [Operator Instructions] Your first question comes from Jim Lucas of Janney Montgomery Scott.
James Lucas - Janney Montgomery Scott LLC: I was wondering if you could expand a little bit more within the Fluid on the Europe muni business. What are you seeing there? Is this tough comps or is there something underlying in the market that you began to see?
Steven Loranger: I think what we're seeing primarily is just a slower than expected recovery in a generalized sense in Europe. We are seeing slow muni market, but I think that's consistent with a lot of the other economic indicators in Europe. So it's just going to be a slow recovery. The other thing to, keep in mind, is that while United States has been upgrading according to some environmental regulatory standards, a lot of those upgrades are already in place in Europe. So on a relative comparison between the two continents, you're going to expect to see slower total growth.
James Lucas - Janney Montgomery Scott LLC: With the credit issues that are going on throughout the European continent, do you think that's weighing at all on what you're seeing over there or is it too early to tell?
Steven Loranger: It's too early to tell specifically, but I don't think any of us who are reading the newspapers would conclude that these credit issues are going to slow things down a bit in Europe.
James Lucas - Janney Montgomery Scott LLC: And then with regards to your thoughts about stimulus dollars in the U.S. and the impact on the Water, I thought it was interesting that the only place stimulus was mentioned in the prepared remarks was within Motion and Flow and European Auto. I was wondering if you could give us an update on what you're seeing in terms of the stimulus spending.
Steven Loranger: Well, I think we're just seeing a continuing very, very slow distribution of the stimulus throughout the municipal and other industrial markets in the United States. I think as we've consistently tracked this and communicated, Jim, over the last year, the fact of the matter is, it has trickled down slowly in our markets. And in many cases, it really was just replacing the funding source for projects that were already more or less in the plan. That said, we are expecting to see about a $20 million incremental benefit from stimulus in the Fluid Tech businesses.
James Lucas - Janney Montgomery Scott LLC: Finally, bigger picture from an M&A standpoint. Nova seems like a very good strategic acquisition for you and you still have a lot of capacity on the balance sheet. Could you just give us an update of how the pipeline is looking these days and what you're seeing in terms of the expectations that are out there from a multiple standpoint?
Steven Loranger: The pipeline is strong, and it is also competitive. We've seen the private equity market get more active again, which means that multiples are certainly not bouncing around the industry lows. In fact, they are more traditional than what we've seen over the last several years. As we've mentioned, our pipeline is still principally focused in expanding into our commercial segments. Beyond the ITT Analytics, we do have a nice pipeline that we're looking at right now to be able to build that out. And as I mentioned in some of the activities around industrial, dewatering and in other global Fluid Technology segments, we continue to feel pretty active about that. That's principally our pipeline. We're also looking at some adjacency ideas, as I've mentioned before in the areas we're growing, in Information Solutions, most notably around cyber technology and air traffic management technology. So we feel good about the pipeline. We're very active. We're in due diligence on a couple of opportunities right now and hopefully, if they come to fruition, which means their actionable and financially acceptable in terms of our metrics, we should have a really good year in this regard.
Operator: Your next question comes from Terry Darling of Goldman Sachs.
Terry Darling - Goldman Sachs Group Inc.: I wanted to follow up first on the MoFlow kind of implied go forward guidance. Obviously, very strong first quarter. I think on the guidance on organic, it implies that you're dropping back into the kind of 2% to 4% range, if we got the math right, then that you're not carrying the strong margins forward. I was just wondering if you could talk a little bit more about that.
Denise Ramos: So in Motion & Flow Control what you're seeing is in Q1, we had such strong results related to Motion Technologies and that's the automotive on platform that we have, and that was due to the stimulus program in Europe primarily. So we saw very strong orders and very strong sales in Q1 on the Automotive business. We expect that to come down as we go throughout the back half of the year, but that's on the Automotive side. When you look at some of the other markets, we are seeing some upward trends in those markets. So when you look at like general industrial, in fact we're feeling pretty good about what's happening there yet. On the Aerospace side, we're somewhat cautious on that. We've seen some upside, but we're just not ready to call that yet.
Terry Darling - Goldman Sachs Group Inc.: Denise, can you help quantify what that auto desell [ph] piece could be? And can you share with us what the 2Q organic expectation for MoFlow is?
Denise Ramos: For MoFlow, organically in Q2, we're looking sales being up about 7% or so.
Terry Darling - Goldman Sachs Group Inc.: Which would imply second half is actually down year-over-year or pretty close to zero?
Denise Ramos: It's pretty close to zero, down a little bit in the back half. So we've seen a lot of the strength coming in the first half of the year. But again, remember overall, we're looking at 7% growth for them on a full year basis.
Terry Darling - Goldman Sachs Group Inc.: But why would second half be flat or down? Is there continued difficult comps on auto or something else I'm missing?
Denise Ramos: There's a little bit of restocking that's taking place in the first half versus the second half. And we saw some pull forward that came into Q1 versus last year. But overall, we're still feeling pretty good about the markets that we have.
Steven Loranger: I just want to add to that Terry. We probably will have some more discussion on this on the phone call. But we planned for a robust year overall. But to be sure, there's still some volatility in this global economy. We are looking at some dynamics, in terms of short cycle restoration as a result of restocking and project starts that were not financially stopped, but they were confident stock. We're maintaining a cautious outlook for the second half.
Terry Darling - Goldman Sachs Group Inc.: On the margin question there, on MoFlow again, not carrying forward the strength from Q1, is that all of the auto piece again? Or is their something else I'm missing?
Denise Ramos: It's primarily the auto piece of it, Terry.
Terry Darling - Goldman Sachs Group Inc.: Did you make any other acquisitions in the quarter than Nova?
Denise Ramos: No, we did not.
Steven Loranger: One really small distributor that was in Finland, where we're expanding our Water Wastewater Residential business. But it was very small and that's on track. It's done. And we've moved the offices and we're growing the business in Finland.
Terry Darling - Goldman Sachs Group Inc.: So just the implied multiples then, around 3x revenues, and if we assume kind of high EBITDA, high teens EBITDA margins, you have pretty high multiples there, which would suggest you're looking for some synergies to make the economics there really compelling. And you've talked qualitatively a little bit about it. But if we think about the financial performance of Nova into '11, '12 and beyond, what kind of upside from a growth and a margin perspective do you think there can be?
Steven Loranger: Okay, Terry, with respect to your assessment, yes, 3x high EBITDA multiples. Again, we're looking at probably a slightly lower number. We're in the 2.5 kind of x with most of these multiples. But there's no question that even in this economy to make these acquisitions work, we need to find the right level of sales and cost synergies. This is why staying pretty close, in terms of related in a standpoint from our portfolio is good because we do have, as an example, in Fluid Technology, a fabulous global distribution architecture, in terms of sales/marketing/engineering. And when we buy these companies like Nova Analytics, we're able to flow. And I could say the same thing with Leopold and several other acquisitions. We're able to flow these technologies through our pre-existing channels. So as a consequence, we actually have a very nice tool in our box with respect to Fluid Technology to achieve these synergies. And then on the cost side, of course, anything we can do to streamline the internal cost or things that we go after. And quite frankly, by the time we assess the conservative level of synergies and cost, we're able to make these acquisitions work.
Terry Darling - Goldman Sachs Group Inc.: Any numbers you could put on those synergies, Steve, for us at this point? Or are you still working through it all?
Steven Loranger: It really depends market-by-market. It depends on how related they are. In some cases, we leave the channels alone. So no, I really have to say, Terry, that it really just depends on what the architecture is of the acquired company as well as how we're going to make it fit.
Operator: Your next question comes from Nigel Coe of Deutsche Bank.
Nigel Coe - Deutsche Bank AG: Steve, you provided some good detail on, kind of, the M&A backlog. Could you maybe talk about whether Nova -- whether you're happy with the cluster of analytics that you got with Nova? Or do you see that as a nucleus of some of the deals in that area? And secondly, related to that points, what do you think about maybe branch into new areas, like med tech for example?
Steven Loranger: Absolutely, we were happy enough with the acquisition that we bought it. And quite frankly, everything that we've seen so far is positive. Monday, I'm actually going to go visit our two major sites over in Europe to take a closer look and meet with Chris McIntyre and the new team. So the strategy is exactly as you outlined, Nigel. This has a high level of relatedness to Fluid Technology. And so it is through the Fluid Technology lens that we can grow the Nova Analytics product line, particularly in emerging markets and through our adjacent sales and marketing distribution capabilities. But having said that, you can take these same technologies and expand into other segments such as Life Sciences and Healthcare. And so when we talk about ITT analytics as a new platform, while we will be growing initially through the lens of Fluid Tech, we fully anticipate to be able to expand into other segments. And so I think it's a really nice way to grow a new platform in areas in Beverage, Healthcare, Life Sciences, Environmental Testing and Monitoring and so forth. So yes, we fully intend to openly growing out that area. And keep in mind that Nova Analytics already has about 40% of their business outside of water. They're in Food and Beverage. They're in Pharmaceutical and so forth. So both organically and inorganically, we should be able to achieve that vision and build on that platform.
Nigel Coe - Deutsche Bank AG: You mentioned pharma, do you have any appetite or desire to acquire in areas where maybe ITT isn't currently focused, for example, Med Tech, Pharma?
Steven Loranger: No, not really. I think the substantial benefit that we have is our current portfolio, where we have arguably 75%, 80% of our business segments are highly investable. They're already aligned to emerging market trends. And so we, quite frankly, think that we've got a menu of possibilities well within our current portfolio to build on exactly as I mentioned with the ITT analytics. I could argue the same with air traffic management, with cyber security and other components of global Fluid Technology. So it's really within that landscape that we'll be building. I think that's a real positive in our portfolio because it says we can deploy capital in near-related adjacencies without taking out substantial amount of acquisition risk.
Nigel Coe - Deutsche Bank AG: Denise, on the food outlook, you've kept it at 1% core for the full year. But in terms of the sub-segments, the three sub-segments, how has that changed?
Denise Ramos: So when we look at organic revenue on a full year basis then, Nigel, that's your question?
Nigel Coe - Deutsche Bank AG: Right.
Denise Ramos: What we've done is, we've taken our Motion & Flow business. We took it up, as I indicated, 7% organic growth versus 0%. Part of what we've seen in Q1 and then what we're anticipating for the back half of the year.
Nigel Coe - Deutsche Bank AG: Denise, but are the sub-segment within Fluid?
Denise Ramos: Within Fluid, what we're seeing is, we're seeing Commercial and Residential being better than what we had thought about three months ago. We've seen some nice upward trends there. We're seeing, on the industrial side, relatively flat with what we've been assuming. And on the municipal side, because of the European softness, we're seeing that being a little softer than we thought before.
Nigel Coe - Deutsche Bank AG: Finally, in Defense, the Afghan Radio deal, is that a one-off? And then do you see any impact from the proposed OCI rules, which was announced last week?
Steven Loranger: On the Afghan deal, which we believe you're talking about the CREW 2.1 Band C upgrade, no, it's not a one-off. The initial contract is $21 million for 400-and-some vehicles. But all of the vehicles that are currently envisioned under the original 2.1, the 2.1 IED IDIQ program would theoretically be subject to the opportunity. So it would -- the practical matter is probably around a 1/3 to 1/2 of the total IDIQ, just simply in terms of the vehicles that are in theater. And that actually lead the Band C upgrade. But fundamentally, the program has legs beyond that. And just to be clear, Nigel, I'm answering the question on jammers. Was your question on radios?
Nigel Coe - Deutsche Bank AG: It's radios, yes. I think you called out [indiscernible].
Steven Loranger: I think it was an initial order. I don't have it in my hand right now what the long term is. But obviously, like any of these radio orders, once you start shipping, you have opportunity for ongoing installations around leveraging that installed base. So we think it's the beginning of a long partnership. And your final question on OCI is, quite frankly, I don't know how to answer it. I've not personally digested it. The government has been trying to define in seeking equilibrium with respect to OCI rules and engagement from corporations. We have been urging the government to be more clear with it. So when we get more visibility, even having digested the most recent input, we'll get back with you on that.
Operator: Your next question comes from Scott Davis of Morgan Stanley.
Scott Davis - Morgan Stanley: I just wanted to talk a little bit about this Chongqing project and the water project. I mean when you go into a market like that, does it need to be with a JV partner or some sort of technology share? How do you go to market there?
Steven Loranger: It is important to establish local partnerships. And we do work with local partners both in China as an example and in India. So for Chongqing, we did partner with the Chongqing Water Group, which is a group of quasi-government, quasi-private industry that will be building some of the infrastructure. And we're working with them, obviously, on the development of the engineering suite of products and technology that meet their needs. So local partnerships are really an important part of the way we go to market. It's part of the plans that Mike Kuchenbrod and Sam Yamdagni, who lead our China and India activities drive all the time.
Scott Davis - Morgan Stanley: Does that include some, sort of, technology share with your local partner?
Steven Loranger: In these initial partnerships, no. Although I would say that technology sharing and to the intimation of your question, equity participation, is always present in front of us. To date, because of some uncertainties in receivable risks, we've not chosen to engage in those equity relationships.
Scott Davis - Morgan Stanley: I think it's still a little bit unclear on, kind of, the timing of full recovery in Fluid. I understand generally late cycle business, but do you keep a book to bill, if you will, in that business that would help us, kind of, track how orders versus revenues are coming through?
Denise Ramos: So when we looked at -- So Fluid Technology, at least, as I indicated for Q1, we have a book to bill of 1.11. And when you look at it between the various segments, Water, Wastewater, RCW and IT, they all exceeded one. So we're feeling good about the order trends that we're seeing in those businesses.
Scott Davis - Morgan Stanley: And is your average, kind of, order to delivery time, somewhere between four to six months? Or is it longer than that?
Denise Ramos: It depends on whether it's a large project or not. So if you look at some of the -- on the municipal side, some of the pumps and some of the RCW side, you may see delivery times of 60 to 90 days, 30 days. When you get into some of these large projects that we have on the IP side, that can go up to 12 to 18 months. So it can stretch out for quite a bit.
Scott Davis - Morgan Stanley: Lastly just on the dividend raise, 18% is a really big number, obviously. And I guess my question really being, given that taxation's probably going to go up, is there any kind of thought process behind future cash deployment? I know we talked about bolt-on acquisitions, but the balance between share buybacks and dividend increases?
Steven Loranger: Scott, we feel really good about the dividend increase and quite frankly, in light of our terrific cash flow generation capacity, when we took a look at it, we did not contemplate that as any alternative or we did not contemplate that in light of what could be increased taxation in the future. We just simply said that this company has the capacity to return a substantial amount of value to shareholders. And we wanted to get our payout ratio up. And it's easily affordable over the long term and is not, at this point, a tax-related issue. Having said that, we obviously asked the question, what kind of balance sheet capacity do we have for additional capital and acquisitive activity? And we concluded that with these dividend increases, we have more than enough balance sheet capacity to execute our strategy.
Operator: Your next question comes from Jeff Jeffrey Sprague of Vertical Research.
Nicole Parent - Credit Suisse: It's actually Nicole, pinch-hitting for Jeff. First, just on the restocking, you cited it on MoFlow and Fluid, could you give us a sense of how big a contributor it was to volume in the first quarter? And how you're actually thinking about it in the second and third?
Steven Loranger: Nicole, that's a question we ask ourselves. And honestly, we even, ourselves, cannot find a detailed answer to it. It could be in the quarter, somewhere in the 25% to 35% range. Those are just lags that we, kind of, think could be a third. We think it's going to sustain through Q2 and Q3 and then solely, be waning out. But it's going to be difficult to really tell. It is not a precisely verifiable number. But there's obviously some impact that we're getting now. And it's going to last a little bit for the next quarter or so.
Nicole Parent - Credit Suisse: And then with respect to cash flow, could you quantify the amount of the defense collections that got pushed into the second quarter?
Denise Ramos: The Defense, as we've said before, that business on receivables, it can easily shift from one quarter to another quarter. Just a day or two can easily make that shift. If I had to guess, I would say, there's about $70 million or $80 million that slipped from Q1 into Q2 associated with account receivable collections.
Nicole Parent - Credit Suisse: Steve, big picture. Within the commercial businesses, what are you, kind of, seeing geographically right now, just as you step back and, kind of, think about U.S. recovering in some of the businesses, Asia and then Europe?
Steven Loranger: The big picture, I think what we're seeing is very common with what is actually being reported widely. We're seeing a cautious recovery in the United States for reasons of confidence and so forth that we're all aware of. So something on the order of two or maybe two plus in the United States. Europe is actually recovering a little bit lower and a little bit slower. There's obviously current day concerns, with respect to some of the credit issues we're all reading about. On the flip side, we're seeing substantial growth in the emerging markets, most notably Brazil, couple of the economies in the GCC, certainly India and China. Our team just returned from a fairly expensive series of trips in the Middle East, China and India. And one of my observations on that, Nicole, was that while these economies slowed down as an example, China was quoted to slow down from 9% to the 7% range. The fact is, there is an unstoppable transition from lower class to middle class, unstoppable population growth. And in these economies, you're just seeing a continued very, very strong demand. They're going to be tripling their power generation capacity in India over the next five years. It is a phenomenal amount of infrastructure that's being put in. And I think everyone knows the Chinese numbers where we're going to have, in the next 15 years, we're going to increase the middle class population in China to a number, which is in excess of the amount of people that actually live in the United States, over 350 million people. So these dynamics -- I mean, having been there real time over the past month, these dynamics are giving us a great deal of confidence in some of these emerging markets. So that's our summary. I think that the only concern is ultimately going to be the flow of money and the efficiency of these capital markets.
Nicole Parent - Credit Suisse: For Denise, what are you using for the tax rate for this year?
Denise Ramos: We're using 29.6%. So that's the best guess to use at this point in time for the rest of the year. That's what we used in the first quarter.
Operator: We have time for one more question. Our final question comes from Steve Tusa of JPMorgan.
C. Stephen Tusa - JP Morgan Chase & Co: The second quarter organic revenue guidance, I could understand that MoFlow is slowing. And I guess Defense is, kind of, in-line with what you saw in the first quarter. But that would imply that, I guess, Fluid is down versus the flat performance in the first quarter. Is that just the lead times on the orders you booked in the first quarter, kind of, stretching in the back half?
Denise Ramos: So if you look sequentially at what's happening between Q1 and Q2, Fluid's going up about 10%, MoFlow down about 15% and Defense is up about 7%. So sequentially, we're growing about 5%. What you're seeing within the Fluid segment is you're seeing municipal, commercial and residential doing better. But Industrial, we're seeing some declines between Q2 and Q1. We had very strong aftermarket activity in IP in the first quarter. So you're seeing that trailing off a little bit in Q2.
C. Stephen Tusa - JP Morgan Chase & Co: But the year-over-year comp organically for Fluid, is that negative or positive?
Denise Ramos: The year-over-year comp for Fluid in the second quarter is roughly down about 2%.
C. Stephen Tusa - JP Morgan Chase & Co: And again, that's because it is -- the comp is a little bit easier just looking at last year. So that's just maybe industrial stuff that still has yet to, kind of, play its way through the revenue base?
Denise Ramos: The thing to remember last year when you looked at IP, the first quarter and the second quarter for IP was very, very strong because we were delivering a lot of the large projects that we were pulling from backlog. So you're getting that from a comparison standpoint.
C. Stephen Tusa - JP Morgan Chase & Co: Just on Defense, so you did a little bit better on the revenues this quarter than we were expecting. Is this just a timing shift that second quarter's down? So all in, you're still looking for, kind of, a similar back half recovery?
Steven Loranger: Yes, Steve, I would say that there is obviously some timing shifts. But we still feel good about our Defense forecast for the year. We're tracking for the full year, not withstanding some changes in quarters. We're still tracking in the high 6 4s to 6 5 range. And that envisions any program timing variations that we're thinking about through the '10 and '11 timeframe. So we feel good about the Defense forecast for the year.
C. Stephen Tusa - JP Morgan Chase & Co: What worries you most in that business as far as timing in the back half? Is it still the services stuff that's moving around a bit? I just want to be able to, kind of, keep an eye on. . .
Steven Loranger: There's only two things. I mean, the Defense team has already factored all of this in. But we obviously have some timing issues on the international SINCGARS that we're pursuing. And we still have one contract that's been under protest. A contract we've won, five protests in a row. But nonetheless, it's still up in the air. So the timing on those two things are really what we're talking about for the year. The balance of the Defense ambitions for the year are reasonably on track. And so the consideration of timing risk has already been factored into our forecast. There's also -- the other thing I'll talk about in some of the other contracts is there's some fielding requirement changes that are still up in the air. So we may see things wiggle around a little bit. But all in, this is a conversation we have among ourselves and the forecast that we've given you contemplates all these risks.
C. Stephen Tusa - JP Morgan Chase & Co: And no change to the '11, kind of -- I think you said '11 is going to be flattish? There's no change in that either, right?
Steven Loranger: Yes, we're on track. We're going to finish the year in the $5 billion backlog range. Based on our ambitions now and the, sort of, certainty around our probabilistic weighted contract wins, we think that we'll see another year in defense in the 2011 timeframe. That's in the same range as what we're seeing this year. And now before we close, I guess I'll just take this opportunity to offer an overarching thought, just somewhat consistent or somewhat as a follow-on to Nicole's question. And it's really all about our growth strategy and where we find ourself in this journey through this economic recovery. I think to begin with, our performance this quarter validates the fact that we do have a razillion [ph] portfolio. Thanks to some of the diversification and really put our investments. I'm going to try to frame that for you. Over the past several years, we've really aggressively repositioned this portfolio to better address these growing global trends, such as global safety and mobile network society and water scarcity. And we've also been working for several years to offset these anticipated declines in some of these core arm services budgets that we understand, I think you all understand, are creating a significant headwind for us this year. Notwithstanding those headwinds on the Defense budget, if you, sort of, take out these major core arm service budget changes, the balance of our Defense business is actually growing in the 9%, 10% range. So what you can see is that this company was a company that performed well in the economic downturn. In fact, our earnings and revenue growth numbers were among the best in our peer group. So I think it's safe to conclude that this strategy is working for us. And just to reflect that our current earnings guidance will represent a record EPS for the company, which will be a 2% increase over 2008. So we like our strategic position. A couple of really specific reasons why we like it. Since 2007, we have invested $1.2 billion in our highest growth commercial opportunities. That investment include $875 million for strategic acquisitions, most notably the IMC, Lang [ph] and Nova acquisitions. We've invested an additional $250 million for restructuring and realignment of our activities, and an incremental $105 million for organic growth investments to stimulate our global marketing capacity and new product technology. And on top of all that, we have invested a very substantial amount of capital to build 11 world class new facilities in China, India, Saudi Arabia, Poland, Mexico and the Czech Republic. So despite the headwinds of the short cycle economic downturn, we are thrilled and believe very strongly that these investments on the commercial side of the business have very solidly positioned us to grow in these vital markets. At the same time, thanks to Dave Melcher in the Defense and Information team, we have been expanding our technologies and capabilities to penetrate these growing non-arm services opportunities such as NASA, the FAA, the Homeland Security, commercial market and international markets. And what has been somewhat invisible to all of you, because these have been program by program wins, is that this strategy we have communicated to you today, with a number of significant long term wins, have driven our non-arm services revenue to over $1.5 billion, representing 25% of the Defense & Information Solutions revenue. And so if you go back to, kind of, characterize where we were since 2006, our cumulative annual growth rate in this non-arm services category has been 25%. So this defense adjacency strategy that we've been communicating has really, really worked well. And despite these potential pressures in the core arm services activities, again, in the Defense and the broader Information Solutions business, we believe we're very, very well positioned to continue to deliver solid growth. So that, coupled with the fact that we will continue to see strong free cash flow generation even with all these investments and portfolio changes, gives us confidence that we've got an engineer that drives the cycle of reinvestment and strong strategic and financial opportunities to develop this capital. So we feel good about where we are. And I just wanted to conclude with this sort of longer term overarching view of this portfolio. We not only are performing well, but we've been investing significantly to reposition in the right markets and right technologies. And we've been doing a nice job of diversification. So with that, I will conclude with my pleasure on the progress we've been made. And thank you all for your interest in ITT. We'll talk with you next time.
Operator: Thank you. This concludes today's conference call. You may now disconnect.